Operator: Good morning, and welcome to the UMB Financial Corporation Third Quarter 2019 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kay Gregory, Investor Relations. Please go ahead.
Kay Gregory: Good morning, and welcome to our third quarter call. Mariner Kemper, our President and CEO; and Ram Shankar, our CFO, will share a few comments about our results; and Jim Rine, CEO of the Bank will also be available for the question-and-answer session. Before we begin, let me remind you that today's presentation contains forward-looking statements, all of which are subject to assumptions, risks and uncertainties. Actual results and other future circumstances or aspirations may differ from those set forth in any forward-looking statement. Details about factors that may cause them to differ is contained in our SEC filings. Forward-looking statements made speak only as of today, and we undertake no obligation to update them except to the extent required by applicable securities laws. Our earnings materials are available online at investorrelations.umb.com. All earnings per share metrics discussed on this call are on a diluted share basis. Now, I'll turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Kay. Thanks everyone for joining us today. We earned $62.4 million or $1.27 per share in the third quarter, compared to $1.16 per share in both the second quarter of 2019 and in the third quarter of 2018. We continue to see strong loan growth with average balances increasing 8.6% on a linked-quarter annualized basis and 10% year-over-year. For comparison, the publicly traded banks that have reported to-date have shown a median linked-quarter annualized increase of 6% in average loan balances. Commercial real estate was the biggest contributor to our growth for the quarter, followed by residential real estate. We added $61 million in average mortgage balances to the balance sheet during the third quarter originating both in our private banking area and in our consumer business. Our C&I book, while still experiencing solid production was impacted by some paydowns related to M&A activity as well as a few prepayments by clients who have experienced strong performance. For the total portfolio, third quarter top line loan production was $850 million, one of the strongest production numbers to date. Total payoffs and paydowns, which include an expected exit of certain factoring loans, were $561 million this quarter or 4.3% of total loans. We continue to see opportunity in our markets and the production pipeline remains strong as we look into the fourth quarter. Net charge-offs for the quarter were just 0.07% of average loans. And on a September year-to-date basis, net charge-offs were 0.29% of average loans compared to 0.26% for the same period in 2018. Now looking at fee income, positive results from asset servicing, Private Wealth, Corporate Trust and Investment Banking were included in the mix. As Ram will detail shortly, third quarter included some noise from market-related adjustments including COLI and equity earnings income along with outsized gains on sale of securities. Excluding those items, we are still seeing positive trends. Our fund services teams continue to win business, taking advantage of consolidation, both among asset managers and in the servicing space. We are seeing larger conversion deals and existing clients are launching new products at a fast pace. And in bond trading, we experienced increased activity with some clients taking gains as the bond market rallied near the end of the quarter. Net interest income grew 1.1% compared to the second quarter, largely due to our solid loan growth and a 3% increase in average securities along with an extra day in the quarter. However, net interest margin compressed by 10 basis points. Asset yields were impacted more quickly than liability side of the balance sheet, given that about 68% of our loans reprice each year with most tied to short-term rates that moved ahead of the anticipated Fed cuts during the quarter. While we're working to adjust deposit pricing, those results naturally lag changes in loan pricing based on competitive rates as well as our liquidity needs to support our strong loan pipeline. The 2018 money market campaign hit its one-year mark in mid-September, so we'll see the full impact of that repricing next quarter. In a declining rate environment, we'll clearly see a benefit from the index portion of our deposit base. But, keep in mind that one-third of our deposits are in DDA with no downside potential. Economic data has relatively been positive and our conversations with our clients cautiously optimistic. However, we expect a lot of volatility leading up to the 2020 elections. Given the murky interest rate environment, we executed a small $750 million cash flow hedge during the quarter to help reduce the downside risk, balancing the near-term earnings impact with the longer-term protection from lower rates. With the exception of certain CRE loans, our markets haven't fully supported the institution of loan floors in term language. However, we maintain our discipline in pricing. As we've said many times over the years, our business model is built to weather all economic cycles. While the shape of the yield curve and the low interest rate environment pose challenges, our strong loan pipeline should enable us to continue to grow net interest income, counter to what we've been hearing from our peers. Coupled with our focus on diversified fee income sources, this should help us mitigate some of these headwinds. Now, I'll turn the call back over to Ram for more detailed discussion of our results. Ram?
Ram Shankar: Thanks, Mariner. For the third quarter, net interest income was $168.3 million, representing a 1.1% increase on a linked-quarter basis. The benefits from our strong loan and securities growth and the impact of an extra day during the quarter were partially offset by lower short-term rates and by mix changes including the payoff of some factoring and other higher-yielding balances. Earning asset yields declined 12 basis points to 3.99% from the linked quarter while interest-bearing deposit cost declined 2 basis points contributing to a five basis points reduction in the cost of interest-bearing liabilities. Net interest margin for the quarter was 3.09%, down 10 basis points from the prior quarter. Margin was negatively impacted by approximately 6 basis points from loan repricing and mix changes; 4 basis points from changes in our funding mix including higher money market balances related to our institutional businesses and less benefit from free funds; 1 basis point related to market value changes in our AFS portfolio; and 1 basis point due to the extra day in the quarter. Positive repricing in the AFS book, added approximately 2 basis points as roll off cash flow was invested at 2.99% in the third quarter. Additionally, NIM was slightly impacted by the cash flow hedge, Mariner mentioned. In late August, we entered into a 1.25% interest rate floor with a notional value of $750 million to hedge the risk of declining rates on floating commercial loans. The hedges indexed to one month LIBOR and has a five-year term. The one month impact of the hedge was about 0.5 basis point to margin. Considering recent market dynamics and the expectation that the Fed will announce an additional cut this afternoon, we would expect approximately 4 to 5 basis points of net interest margin compression for the fourth quarter. Of course, the actual outcome for NIM will depend on a variety of factors such as the pace at which LIBOR moves, loan growth, the potential variability in our aviation trust business and our overall balance sheet mix and need for funding. Average total deposits increased 2.8% on a linked-quarter basis, largely in institutional and commercial money market balances. Our overall deposit composition by source is shown on slide 13. Moving to the income statement, Mariner already discussed some of the opportunities we're seeing in fee income and the detail on the specific drivers are shown on slides 19 and 20. Total reported noninterest income was $103.6 million for the quarter, a decrease of $1.8 million compared to the second quarter. Included in the decrease were several market-related reductions all reported in the other income line: $3.7 million of lower equity earnings on alternative investments; $2.3 million in lower COLI income, which has a proportional offset in deferred comp expense; and $1.5 million in lower derivative income. Positives include trust and securities processing income, which improved $2.3 million or 5.4% over the second quarter driven by fund services, Corporate Trust and Private Wealth revenue. Brokerage fees increased $1 million or 14.5% linked quarter related to 12b-1 and money market revenue driven by our growing institutional businesses.  Non-interest expense for the quarter was $191.4 million, a decrease of $2 million or 1% from second quarter. Bonus and commissions expense decreased $3 million and deferred comp expense the offset for the lower COLI income I mentioned decreased $1.6 million. Marketing and business development expense related to travel and advertising decreased $1.6 million due to timing of ongoing product initiatives. These items were partially offset by increased expense of $1.3 million related to a fee paid to terminate a portion of a building lease. Slide 21 contains additional detailed drivers of expense changes. As a reminder, several of our expense categories including bonuses and commissions, processing fees and bank card expense are variable in nature and tend to correlate with volume or revenue-based activities. Finally, our effective tax rate was 14.5% for the third quarter and 15.1% year-to-date. For the full year 2019, we continue to expect our tax rate to be between 15% and 16%. That concludes our prepared remarks and I'll now turn it back over to the operator to begin the Q&A session of the call.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Chris McGratty with KBW. Please go ahead. 
Chris McGratty: Good morning, everybody. 
Mariner Kemper: Hi, Chris. 
Chris McGratty: Maybe, Ram starting with you or Mariner. In your prepared remarks, I think you talked about growing top-line in light of NIM pressures that the industry is facing. Again, I'm looking for a little bit more color. Does that assume if we get a cut today and potentially one more that we could see kind of flat to growth in NII next year? Is that kind of the message you're trying to send?
Mariner Kemper: Well, I think, actually what we were saying is that loan growth continues to be strong. And as we have historically only given you a look into the next quarter on that the pipeline looks good for the fourth quarter and would expect that net interest income growth would outpace margin pressure.
Chris McGratty: Okay. So growth in NII next quarter. Got it.
Mariner Kemper: Yes.
Chris McGratty: Thanks for that. In terms of deposit rates, can you elaborate maybe where the spot rate deposits might have been in interest-bearing deposits in September? And then can you put some context around the index. How much is left? And how is that going to reprice in the next few quarters?
Ram Shankar: I'll take that Chris. So just if you look at the money market campaign that we talked about we repriced that down by about 50 basis points from 2.3%. Obviously, the first cut will be the deepest one because we raised those deposits in a different expectation for interest rates. So the money market if you look at the rates around us it's closer to 170 to 180 obviously, with the rate cut today we'll reevaluate that. And then on your last question approximately 23% of our deposits I would say is what we call hard indexed to some kind of debt funds of a target rate.
Chris McGratty: Okay, great. Maybe just one more on the margin if I could. The spread between new securities purchases, I think, it was around 3% and your cost of Fed funds repos is around 2% it's about 100 basis points spread net. Is that -- is the expectation to keep that kind of carry trade on if you will given the positive spread? Or is there any contemplation that you might shrink that in the buyback stock?
Ram Shankar: A lot of it will depend on just loan growth like Mariner talked about. We have a strong pipeline so there's definitely an opportunity to rotate out of those AFS securities. It definitely won't be for the reason to buy back stock. So I wouldn't quite call it a leverage trade. This is much needed collateral to support all our businesses. So I would expect our portfolio to stay closer to where it is. But if funding shortfalls happen or if loan growth exceeds, we might look to the portfolio to fund our balance sheet that way.
Chris McGratty: Okay. Thank you very much.
Ram Shankar: Thanks, Chris.
Operator: The next question is from Ebrahim Poonawala with Bank of America Merrill Lynch. Please go ahead. 
Ebrahim Poonawala: Good morning, guys.
Mariner Kemper: Hi, Ebrahim 
Ram Shankar: Good morning. 
Ebrahim Poonawala: So I was just wondering if you could speak to in terms of the expense. When you look at the third quarter expenses Ram, if you can remind us; one if there's any seasonal impacts that we should bake into as we think about fourth quarter? And just more sort of longer term and I appreciate you don't want -- you don't give 2020 guidance but just talk to us in terms of cost savings. What you are doing at the bank? And on the other side what kind of investment spend do you expect over the next few quarters?
Ram Shankar: So just in terms of third quarter impact we talked about $1.3 million or so because we terminated a particular lease in one of our buildings. So that's consistent with what we're doing to look at our expense base overall. And so there's no real seasonal other than some timing impact from software expenses. We're shifting to more of a purchased EDP model with some of our investments. So those spiked up a little bit in the third quarter but we'll continue to remain at those elevated levels because we are investing in our franchise.
Ebrahim Poonawala: Got it. And do you expect and given, sort of, the outlook in terms of the margin and interest rates do you expect to, sort of, keep your efficiency ratio flat? Or do you see that kind of trending back higher next year given where we're from a rate standpoint?
Mariner Kemper: This is Mariner. How are you this morning.
Ebrahim Poonawala: Great. How are you?
Mariner Kemper: Good. I would say, it's not -- as you mentioned earlier we don't give guidance on that. I think that you should expect us to manage expenses as tightly as possible without mortgaging the future as we look into next year. The mix, I think, the positive and important thing about the mix on our spending is that it's shifting to more than 50% of it more towards customer experience and profit generation versus keeping the lights on and sort of, upgrading and updating systems. So that's probably the most important thing. So I would say the way we look at it right is we want to see earnings growth and sort of the stuff that we talk about being important long-term and less so focus on the absolute amount spent more focused on a bigger company on the expense load that we have.
Ebrahim Poonawala: Got it. And just one last one and sorry, if you already talked about this, but as we think about the margin relative to the Fed interest rate cuts how quickly do you anticipate that the margin could stabilize once the Fed stops? Would it happen like a quarter or so immediately after? Or do you -- would you need like a steepening in the curve for the margin to get some relief?
Ram Shankar: Let me just -- theoretically it will take a little bit more time just because loans are being replaced at lower yields right? There is always a churn just like on the way out there was positive churn. Clearly as you see in our AFS portfolio, we're still seeing positive churn between what's rolling off and what's rolling on. But if the 10-year stays -- pretty low where it is at some point that could reach equilibrium. So we might have a longer tail than just one or two quarters Ebrahim.
Ebrahim Poonawala: Got it. Thanks for taking my questions.
Ram Shankar: Thanks.
Operator: The next question is from Gordon McGuire with Stephens. Please go ahead. 
Gordon McGuire: Good morning. Thanks for taking the questions.
Ram Shankar: Good morning. 
Mariner Kemper: Good morning, Gordon.
Gordon McGuire: So the average deposit growth was pretty good this quarter. I'm just wondering if you can remind us what the usual seasonal swing in deposits is for the fourth quarter? And whether you did just anticipate this quarter being pretty consistent with what you've seen in the past? Just trying to -- the balance sheet here.
Ram Shankar: Yes, the biggest volatility in deposits this quarter was primarily from our institutional businesses, Corporate Trust Aviation and Asset servicing. They tend to be volatile because of deal flow and it depends on what's going on in the market too. So it's hard to predict that. But usually there's a slight pickup in deposit growth in the fourth quarter. In public funds they usually come mid-December and then peak in the first and second quarters. So you'll see some benefit from that. And then what remains to be seen on the other side is with the money market campaign with the rate cuts that we talked about what happens to those balances.
Mariner Kemper: And what happens with our Aviation trust business…
Ram Shankar: Correct. 
Mariner Kemper: …it continues to grow. And so we'll see how that plays out.
Gordon McGuire: And you talked about the money market campaigns repricing lower and the hard index, but maybe more of the softer indexed deposits that you talked about last quarter. I'm just wondering what kind of sets you've had in lowering prices on those? And how much beta you've been able to capture there from the last few cuts?
Mariner Kemper: We'll see a few -- three areas there. You've got the traditional consumer space which will continue to price down as we watch the competition. We usually wait a week or two to make sure that we don't get out in front of our competition. So that's the retail piece that couples with the private banking. Then we have kind of our corporate bid and account business and that we do kind of on a negotiated basis. I would say that all of it will come down and we'll just manage that to make sure that we are diligent about keeping it, while we're bringing it down so that we don't get out ahead of the competition and do something stupid.
Gordon Reilly: Got it. And then the charge-offs came down quite a bit this quarter but you can -- can you go into the increases in substandard and non-accruals? And it looks like you built the reserve a little bit. So maybe how we should be thinking about charge-offs going forward off these levels?
Jim Rine: Yes, this is Jim. We had a large credit that we knew we were headed for paying off. But based on the timing on when we knew the information we went ahead and put it on non-accrual before quarter end and subsequently it did pay off after quarter end. So those came back down right after quarter end within 10 business days. So really it was just knowing what we knew when based on accounting rules we did go ahead and put it on non-accrual. So you did see that tick up but it certainly came right back down after quarter end. And we had mentioned that we felt like our charge-offs would be more normalized to historical levels going into this quarter and we feel like the portfolio not to give guidance but we feel like we have things that'll be back more to historic levels to what you'll see going forward.
Gordon Reilly: All right. Thank you.
Operator: The next question is from Nathan Race with Piper Jaffray. Please go ahead.
Nathan Race: Hey, guys. Good morning.
Jim Rine: Good morning, Nathan
Nathan Race: Going back to the margin discussion, just curious if you had the weighted average rate on new loan production in the quarter?
Mariner Kemper: Sorry can you do that again?
Nathan Race: The weighted average rate on new loan production in the quarter?
Mariner Kemper: We haven't really gotten into that I guess from a -- I guess a competitive standpoint. That's not really something we get into. I'd say -- from an environmental perspective, I'd say we've been able to hold the same kind of spreads that we've been seeing but we don't really get into that otherwise for competitive reasons.
Nathan Race: Got it. I guess, I'm just trying to get a sense for looking out to 2020 if new loans are coming on the books below the portfolio yield or at the portfolio yield that stood around 5% flat during the third quarter.
Mariner Kemper: Well, I mean I guess back to rates coming down, right? I mean, there's going to be -- it's dynamic because of what we're going to be able to do with -- so if you're just talking about yields by themselves on the loans that are likely to come down obviously just because the rates are coming down. But as it relates to spread and margin there's many things at play related to how successful we are with deposit pricing and other things. So -- but the yield on loans will come down on the new generated loans for sure.
Nathan Race: Right. Got it. Understood. And then just in terms of payoffs I understand -- it seems like they're a little elevated late in the quarters given the average growth that you had here in 3Q. So just curious if you have any visibility in terms of how payoffs are trending thus far in 4Q?
Mariner Kemper: As you noticed in the quarter of 4.3% between the two payoffs and pay-downs, don't see that changing. It's hard to predict but we've been able to keep that pretty consistent. I don't see anything that would stand out one way or the other just regular activity.
Nathan Race: Okay. Understood. And if I could just ask one more changing gears. The corporate trust revenue was up pretty nicely quarter-over-quarter and year-over-year. And I know you guys have been investing in that business and have added some folks as well in that line. So just curious how we should think about growth in that line in 4Q and perhaps into 2020 as well?
Jim Rine: Well, as you know -- this is Jim. As you know we've continued to invest and we've expanded the team in our Aviation Corporate Trust but we've seen continued activity in our traditional corporate trust business throughout our footprint and we continue to expand with that team. And then with the closing of the acquisition that we made with the Iowa team, we look for that to continue quite frankly.
Mariner Kemper: Yes that business we're very excited about the lead tables in the recent quarter we're actually have come up one spot in deal size. So we've been number three on number of issues from standpoint of paying agent but we went up one level as it relates to the size of the deals we're doing. So that's -- as we move into markets like New York and up and down the east seaboard and places like that, we're starting to do larger deals and that's pretty exciting. The Aviation Trust business is just getting underway. We have nearly 40 people now within just one year in Salt Lake City and we are building a commanding presence in that space. So we're very excited. We continue to look for ways to consolidate the Corporate Trust business as many of our peers and larger players realize that they are barely in the business and we are a go-to for consolidating that business. We expect to be a -- continue to be a major player on a national basis in that business.
Nathan Race: Got it. That’s very clear. Appreciate the color. Thank you.
Mariner Kemper: Thanks.
Operator: The next question is from David Long with Raymond James. Please go ahead.
David Long: Good morning, everyone.
Jim Rine: Hey, good morning, David
David Long: In recent conversations you guys have talked about increasing your investment on the retail side of the business. And just curious what progress has been made there? And any improvements that we should be looking for in 2020 on the retail side of the business?
Jim Rine: Hi, Dave. This is Jim. So we have our new teller platform in beta and that will be rolled out system-wide within the next 90 to 180 days. Our new online banking platform will go live in December, but due to the holidays, we won't be able to roll that out to everyone until most likely after the 1st of the year which is fantastic. We are able to do online account opening in pockets but we'll have that in a broad-based fashion within the next 180 days. So we should have -- well not to say caught up because I feel like we do well but we will have most of our upgrades in place in 2020 and in the first half of 2020. So we continue to invest and will be most -- through most of the technology upgrades before the end of the year without a doubt.
Mariner Kemper: The effort is largely just to make us competitive close gaps. We're very excited about where we'll be with that. Everything from online account openings are updated and upgraded.
Jim Rine: Yes. And then from there we have branch refresh and remodels. And then I guess retooling some of the space that we have to make a better experience for our customers.
David Long: Got it. And is there anything in the operating environment with the economy whether a slowdown or change in rates that would put a pause in some of these investments?
Mariner Kemper : Well I mean, I think that question would be more broad-based across all of our spending and all of our activities. And as I said earlier, we remain very diligent about controlling expenses at the most extreme level we can without mortgaging our future and that would look -- that would cut across our entire business.
Jim Rine: But on the consumer space though these have already been implemented and we're through. And we are a bank and the consumer franchise is vital to what we do. And so we're going to complete this. If there was something else we might look at that but certainly not any of these projects.
Mariner Kemper: To be clear - clearing that up, I mean we can slow down the pace of the branch refresh or something if we needed to. It wouldn't be like whether or not we do it or not but there are things we can slow the pace of if necessary. We don't currently see that being necessary but those are all -- the pace at which we do things can evolve if necessary.
David Long: Got it. And then one final one for you Ram. As it relates to some of the other non-interest income and I appreciate in the slides the color on the decreases in the market-related metrics. But are these market-related metrics are we at a low level for them at this point? Or is this the level we should look at going forward? Or is this an unusually low quarter?
Ram Shankar: Well, it's tough to quantify whether it's low, right? It depends on the market. Some of these especially the COLI investments that we have are tied specific to the S&P 500 index. So if the S&P can go down, so we might have some negative mark-to-market valuations and that can take the fee income even lower. So as I said on the prepared comments, right? If you look at the other line item of the $10 million, $6 million of that swing was because of our COLI investments and equity earnings and some of the alternative investments that we have. Another $2 million was because of just lower capital markets and derivative income. So it's really tough to give you a run rate on that one, because of so much of it is driven by markets.
Mariner Kemper: But the reality is as it relates to business lines, the revenue growth for non-interest income is there and we're demonstrating that and these are really refrained in the noise. You can see in the -- you can back into the fact that we actually had non-interest income growth from a sort of trajectory perspective, if you look at the reconciliation on your own, which I'm not allowed to do for you. So -- but you can do -- you can back into that yourself in the reconciliation page.
David Long: Got it. Thanks for all the color guys. Appreciate it.
Mariner Kemper: Thanks, David.
Operator: The next question is from Jared Shaw with Wells Fargo. Please go ahead.
Jared Shaw: Hi, good morning.
Mariner Kemper: Hey, good morning, Jared.
Ram Shankar: Good morning.
Jared Shaw: I guess just a couple of bigger picture questions. One when you look at the middle market commercial lending environment and the strength there, are you seeing any impact from the tariffs or from maybe a broader concern over making CapEx investments or just business expansion investments at this point? Or is that not really flowing through to the customer level?
Mariner Kemper: I would say -- we've said earlier kind of a cautious optimism. Generally speaking, as we go around and talk to our customers and have regional board meetings and such, the general sentiment is pretty good. There are some fluctuations from one industry to another and some timing issues around being able to pass on tariff costs and stuff. But I would say generally speaking ultimately, it seems as though either those costs over from one period to the next or they're able to pass those on or the impact is nominal, growth is there, investments are being made, borrowing levels that remain stable, utilization levels remain stable. So I think the general sentiment is pretty good. There are swings. And obviously for example construction is very strong pipelines there. Backlogs all across construction are very strong and deep and beyond the backlog. The pipeline sounds like they're strong even past the backlog. And then, if you take you were to juxtapose that against transportation, which is a leading indicator some of our transportation related clients would tell you they're starting to see some softness. So generally speaking what I'd say it's a mixed bag. Some of the leading indicators like I said, transportation would lead you to believe there's going to be some softness, but even those guys are cautiously optimistic about 2020. So from my vantage point 2020 looks pretty solid. Whether or not there's some kind of slowdown in 2021 or not remains to be seen.
Jared Shaw: That's great color. Thanks. And then on the HSA side, as we go into the end of the year here and we're starting to enter the enrollment cycle. Are you seeing any changes sort of an employer sentiment around the high deductible health care plans and trying to promote those given the political backdrop and the potential down the road for changes in health care? Or is that not really flowing through to the HSA pickup at this point?
Jim Rine: Hi. This is Jim. We have not seen that yet. Through six months, our balance has trended the industry to a bit. But in the third quarter we caught back up to mirror industry growth. Through the rest of the year when the enrollment period comes, we aren't hearing anything that leads us to believe that yet.
Jared Shaw: Okay. Thank you.
Jim Rine: Thanks, Jared.
Operator: [Operator Instructions] The next question comes from John Rodis with Janney. Please go ahead.
John Rodis: Good morning everybody.
Mariner Kemper: Good morning, John.
John Rodis: Ram. Maybe just a quick question on CECIL. Do you have any sort of update you can provide at this time?
Ram Shankar: Not at this time John. The team is working really, really hard as you would imagine. We're doing parallel runs at different balance sheet dates and different economic assumptions. So you'll hear more from us as part of our year-end call. Know that it's -- we don't think it's going to be a material headline for us.
John Rodis: Okay. Thanks. And then Ram, just a small item but on the balance sheet other intangibles were up $4 million or $5 million linked quarter. What drove that increase?
Ram Shankar: That's the Iowa Trust -- Iowa Corporate Trust acquisition that Jim just referenced John. So I just want -- we had a press release about that. There was a small purchase price on that and that's just the increase on customer intangibles.
John Rodis: Yes, okay. I just wanted to make sure. Okay. Thank you.
Ram Shankar: Sure.
Mariner Kemper: Thanks, John.
Operator: The next question is a follow-up from Chris McGratty with KBW. Please go ahead.
Chris McGratty: Great. Thanks. This is a question on capital. You guys are building capital pretty quickly. Part of it is the declining rates and OCI. But I'm interested in updated thoughts on inorganic growth I think last quarter you talked about bank and non-bank and wonder if there's any change or update there? Thanks.
Mariner Kemper: So I mean you could look at that two different ways. One we're probably coming through the peak of the best times for our country and it wouldn't hurt to have solid capital levels anyway. Putting that aside, we are also making sure that we are prepared for acquisition opportunities which is the real primary reason for that. And we do -- sorry some noise on the line there. We do very much want to be successful in our search for good solid franchise building acquisition opportunities. So that's the main reason that you see that the way it is. There are obviously other reasons to have it. We continue to feel good about loan growth and other uses of our capital. So we think its good solid practice to have a capital base right now for multiple reasons.
Ram Shankar: And Chris, this is Ram. I would just urge you to look at regulatory risk-based capital. I know TC -- you're talking about TCE and that had a $250 million swing from a year ago, because of what you said AOCI and stuff. So I would just keep focusing on regulatory capital ratios which don't have the noise. And yes, we're sitting on capital and we're having meaningful conversations like Mariner said both on fee income streams and bank M&A.
Chris McGratty: If I can just slip one in on bank M&A. I mean, I think last quarter you talked about the efficiency of a little bit larger deal versus the Marquette, which was in the $1.5 billion range. Are there meaningful conversations to be had in terms of sizable bank deals in your markets?
Mariner Kemper: Well yes, I can't give you real -- obviously any guidance on that. I mean, I would just say that we are -- we remain interested. We have a team of individuals. We certainly are keeping relationships with investment banks. We have outbound calling efforts. We're just -- we're active.
Chris McGratty: Got it. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Kay Gregory for any closing remarks.
Kay Gregory: Thank you, and thanks for joining us today. This call can be accessed via replay at our website. And as always you can contact UMB Investor Relations at 816-860-7106 with any follow-up questions. Again, thanks for your interest and your time.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.